Operator: Good morning, ladies and gentlemen. Thank you for waiting. Welcome, everyone to Ultrapar's First Quarter 2021 Results. This is also being simultaneously streamed through webcast and you can reach through ri.ultra.com.br and MZiQ platform. Today's teleconference will be led by Mr. Frederico Curado, Chief Executive Officer of Ultrapar; and Mr. Rodrigo Pizzinatto, Chief Financial and Investor Relations Officer, together with other executives. We would like to inform you that this event is being recorded. And all participants will be in listen-only mode during the company’s presentation. After Ultrapar’s remarks are completed, there will be a question-and-answer session. At that time, further instructions will be given. [Operator Instructions] We remind you that questions, which will be answered during the Q&A sessions, may be posted in advance in the webcast. A replay of this call will be available for one week right after it's over. Before proceeding, let me mention that forward-looking statements are being made under the safe harbor of the Securities Litigation Reform Act of 1996. That is important to note. Forward-looking statements are based on the beliefs and assumptions of Ultrapar management and our information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events, and therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Ultrapar and could cause results to differ materially from those expressed in such forward-looking statements. Now I will turn the conference over to Mr. Frederico Curado. Mr. Curado will start our teleconference.
Frederico Curado: Good morning, everyone, and welcome to our conference. Let me start by saying that the first quarter of this year was an improvement over last year, and also was slightly better than what we had anticipated, representing a great start for Ultrapar in 2021. I can't start earnings call without highlighting the competence that our teams have continuously demonstrated throughout those 15 months of pandemic, both from the point of view of the safety of our people, but also the continuity of our operations, which have not suffered any interruption. And we maintained a high level of service to our customers and consumers. So congratulations to the more than 16,000 people of Ultrapar. Well, all of our businesses presented a great operational and financial performance in the beginning of 2021. Ultragaz – starting with Ultragaz. The company continues its journey of innovation and growing productivity with another good quarter of great balance between healthy margins and market share, by the way, this is the best first quarter of Ultragaz history. Ultracargo also had another excellent quarter, so did Oxiteno, which continues to show great competence and take advantage of opportunities derived from a favorable exchange rate and substitution of imports in Brazil. Ipiranga also had a great quarter, beginning to reap the fruits of investments that have been made in developing internal competency and trading and also the improvements in our operational performance. By the way, as you may have seen, we are restructuring Ipiranga’s commercial area. We have created a new position of a Commercial Vice President, which will be dedicated to the network – managing the network of resellers and also our corporate clients. And very happy to confirm that Leonardo Linden who is an industry vet, and until now he was the CEO of our JV with Chevron, ICONIC. And Linden – so Linden who transitioned from our JV to this new VP Commercial position on 1st of May, he did led last week. So final comment on Extrafarma. Another good sequential result and despite the impact of the second wave of the pandemic in Brazil, which of course, again had an effect on its stores which are located in shopping centers. So many were closed or with several strong, strict restrictions. All-in-all allowed the EBITDA of Ultrapar to have come close to R$1 billion this quarter. On revenues, which are similar to those of the first quarter of last year, which means an expansion of margins. Our net income was negatively impacted by a financial cost associated with the mark-to-markets of our cash flow hedges in our debt – our debt denominated in the U.S. dollars, but the net income did remain within our expectations. Thanks to our strong operating performance. We also had a relevant dividend payment in this quarter, relative to the year 2020. Let me remind you that we have not made any advanced payments last year. Therefore, we disbursed 100% of the dividends value in March. Even with that payment, we kept our debt leverage at the same level of last year. So on that aspect, our expectation is to see a gradual decline of this leverage throughout the year. And our goal is to achieve the range between two and two and a half times our last 12 months EBITDA. From the point of view of the strategic agenda, we hope to reach the end of the year having significantly advanced in the rationalization of our portfolio of companies. Note, about the negotiation with Petrobras, regarding the acquisition of Refap, they are progressing normally without interruption or without any change due to the transition to senior management of Petrobras, which is good news. We hope to be able to sign the purchase agreement in the coming months, along with the various ancillary contracts which are associated. So in summary, we remain on course and on schedule and implementation of the strategy designed in 2018. We have the expectation that in 2021, we will continue to reap the fruits of what we have been planting in the last three years. Before closing, I’d like to just reiterate our growing focus on the ESG agenda of the Ultra Group, which will gain forming greater objectivity this year. By the end of this year, we will define and disclose our ESG goals for 2030, aligned with our strategy, of course, including the action plans and the intermediate goals that will enable us to achieve these results. Well, I appreciate – thank you again. I appreciate the attention of all of you and pass the floor to Rodrigo, who will present our results in further details. Thank you very much.
Rodrigo Pizzinatto: Thank you, Fred. And good morning, everyone. It's a pleasure to be here with you once more to talk about Ultrapar’s results. And starting with Slide number 4, let's begin with Ultrapar’s consolidated results. As Fred just mentioned, we started the year with positive news despite the worsening of the pandemic in Brazil, and the more volatile economic environment. Our EBITDA reached R$996 million in the first quarter, representing a 13% increase over the EBITDA we reported in the first quarter of 2020. As you may recall, in the first quarter of last year, we had R$71 million of non-recurring tax credits from Oxiteno. If we exclude this effect recurring EBITDA grew 23% in this quarter, demonstrating the resilience of our portfolio with growing results across all business segments. Despite the EBITDA growth, net income was 19% below that of the first quarter of 2020, due mainly to two factors. We had R$149 million of non-recurring tax credits in the first quarter of 2020, of which R$71 million positively affected EBITDA as I already mentioned and R$78 million benefited financial results. The other factor refers to the negative mark-to-market effect of FX hedging instruments, which negatively impacted our financial results. In this first quarter, the more turbulent economic environment affected the mark-to-market of long-term hedging instruments contracted to protect our bonds that mature in 2026 and 2029. As we intend to hold these instruments to maturity, these effects are only temporary as mark-to-market gains or losses will be neutralized over time. I remind you that on the fourth quarter, and in the first quarter of 2020, the mark-to-market effect was positive given the better economic environment in those quarters. It's worth mentioning the relevant investment in working capital we had this first quarter, as you can see in the bottom left graph. Typically, first quarters are seasonal cash consumers since the year-end payments to suppliers undergo a natural increase as a result of the holidays in December. Besides that, in March, we annually have a mandatory increase in anhydrous ethanol inventories. In addition to these effects, fuel and LPG prices rose significantly in the first quarter of 2021, which resulted in increased cash outflows compared to price reductions we had in the first quarter of 2020. Another cash effect in this first quarter was the payment of dividends. Last year, as you may recall, we halted the dividend payment usually made in August and it paid out all dividends from 2020 in a single installment in March this year. Even with the significant investment in working capital, we had a positive cash flow from operations in this first quarter of 2021 of R$128 million. Moving now to Slide number 5, let's talk about liability management. We closed the quarter with a net debt of R$11.9 billion, an increase of R$1.4 billion over the net debt of December 2020. This increase is due to the aspects I just mentioned, working capital investment, dividends and negative mark-to-market from hedging instruments, and also to FX fluctuation over a portion of our bonds designated as hedge accounting. As a result, our leverage increased from 3x net debt-to-EBITDA in the fourth quarter of 2020 to 3.3x in this first quarter, which we expect to be the peak leverage for 2021. The trend is a gradual leverage reduction starting in the next quarter. It's also worth pointing out that since the first quarter of 2020, we have been adding the leases payable line item to the net debt calculation following the implementation of IFRS 16. This inclusion contributed to the increase in leverage, even though these leases are not financial debt. Still in this first quarter of 2021, we issued two infrastructure linked debentures or incentive bonds in Brazil through Ultracargo, totaling R$460 million, both with a seven-year maturity and a cost equivalent to 111% of the CDI rate. Moving now to Slide number 6, to talk about Ultragaz. Sales volume in the first quarter of 2020 was 4% lower than what we had in the first quarter of 2020, with a 5% decrease in the bottled segment and a 1% decrease in the bulk segment. The reduction that bottled segment was mainly a result of the increase in demand for LPG bottles during March 2020, influenced by the social distancing effect at the beginning of the pandemic. The reduction in the bulk segment on the other hand is related to lower sales to commercial and services segments. The most effected by the restrictions imposed in response to the pandemic in this first quarter, partially offset by increased sales to industries. Ultragaz SG&A expenses were 5% lower than that in the first quarter of 2020, due to lower expenses with provisions for doubtful accounts into freight, as a result of logistics optimization. In addition to initiatives to reduce expenses in several lines. Ultragaz EBITDA was R$150 million in the quarter, a 2% growth over the same quarter in 2020, as we predicted in the last earnings call. Given the context, it was a very good quarter, especially considering the strong comparison base. This progression is due to expenses reduction and the focus on efficiency despite a lower sales volume and increased costs of LPG in the period. The prospects for the second quarter are of a slight growth in volumes and EBITDA over the first quarter of 2021, given the seasonally stronger second quarter. The second quarter of 2021 performance, however, is likely to be lower than that of the second quarter of 2020 period that was the most benefited by the effects of social distancing when we had unusually stronger demand in the bottled segment. Let's now move to Ultracargo on Slide number 7. Average installed capacity reached 843,000 cubic meters in the first quarter this year, a 3% growth over year-over-year, a result of the tankage capacity expansions we implemented at Itaqui port in the last 12 months. The cubic meters sold remained flat year-over-year, with increased handling in Itaqui due to the capacity expansions I just mentioned, offset by lower fuel handling in Suape, Santos and Aratu Terminals, as a result of lower import volumes. Net revenues for Ultracargo totaled R$172 million in the first quarter of 2021, a 5% growth over the first quarter last year, due to the expansions, contract readjustments and a greater number of spot operations. Combined cost and expenses increased 8% during the quarter, mainly on the back of increased expenses with leasing readjustments, depreciation resulting from capacity expansions, variable compensation aligned with results progression and IT related to initiatives for productivity gains. It is worth mentioning that in the first quarter of 2020, we had a RS4 million gain from the refunding of a previous compulsory loan to Eletrobras that was recorded as other operating results, a one-off nonrecurring effect last year. Still, we achieved a record level of EBITDA to Ultracargo of R$93 million in the quarter, 2% above that of the first quarter of 2020 as a result of higher sales revenues, partially offset by increased costs and expenses. Ultracargo continues to follow its expansion with profitability plan. For this second quarter, we expect a higher-than-usual increase in operating costs to concentrate in maintenance and services at our terminals. Nevertheless, we project EBITDA growth in relation to the R$80 million recurring EBITDA of the second quarter of 2020 approaching the reported EBITDA of the first quarter this year. I also wanted to highlight, as you can see in the slide that in early April, we won an auction bid for the concession of an additional area in the Port of Itaqui in line with our strategy of expansion with profitability. Such concessions will allow us to expand our overall tankage capacity by another 9% as well as to consolidate our position in the Itaqui terminal in a single continuous area together with our existing operations there, generating scale and productivity gains. Moving on to next Slide, number 8, to talk about another great quarter of Oxiteno. Sales volume in the first quarter this year was flat over the first quarter of 2020, but with an improved sales mix. The share of the specialty chemicals grew from 82% to 90% year-over-year. The specialty chemicals volume was 9% higher than that of the first quarter of 2020 due to increased sales across all segments in Brazil, especially crop solutions and home and personal care in addition to increased sales of our international units. Oxiteno's U.S. operations was impacted by the hard winter that hit Texas in February when it remained close for about 30 days. Even with the closing, we had a 5% growth in volumes there. The volume in commodities, on the other hand, decreased by 42% as we prioritize specialty chemicals given that we are in a period of scheduled shutdowns. SG&A expenses increased 15% during the quarter due to the exchange rate fluctuations of international units to provisions for waste disposal at our plant in Uruguay and the increased trade expenses. It is worth mentioning that during the first quarter of 2020, Oxiteno's results were positively impacted by the nonrecurring tax credits in the amount of R$71 million as I already mentioned. EBITDA totaled R$227 million in the quarter, a recurring record level for Oxiteno and a growth of 87% over the recurring EBITDA in the first quarter of 2020 that excludes the tax credit gains I just mentioned. This performance was above what we expected for the quarter, leveraged by an improved sales mix and margins and by the devaluation of the real year-over-year. And now looking ahead, should the exchange rates remain at the current levels, we expect to have in the second quarter this year, an EBITDA similar to that we had in the first quarter of 2021. In the next Slide, number 9, let's talk now about Ipiranga. Sales volume were 2% lower than that of the first quarter of 2020. There was a decrease of 6% in the auto cycle volume, a result of the restrictive measures imposed by the pandemic and reduced vehicle traffic, while diesel volumes increased by 1%. The graph on the right-hand side shows the progression of fuel consumption for the last 12 months, where you can see the gradual recovery of volumes since the second quarter of 2020 that was most impacted by social isolation. We ended the quarter with a network of 7,107 service stations, mainly flat in relation to that of the first quarter of 2020 with 81 stations openings in the same number of closings in the quarter, in continuity with the evolution of our network. The price increases of fuels products and ethanol along the first quarter of 2021 impacted the results in the quarter despite the unfavorable parity in imports. As for gasoline, the increase during the first quarter was around R$750 per cubic meter; while for diesel, it was R$500 per cubic meter, already accounting for the reductions in the PIS/COFINS taxes. SG&A expenses increased 4% compared to the first quarter of 2020, mainly due to increased freight expenses, reflecting higher diesel prices of one-off civil contingencies and to the additions of AmPm company-operated stores. These effects were partially offset by lower provisions for doubtful accounts. The other operating results showed a R$64 million reduction over the first quarter of 2020. This difference is mainly due to the provisioning for the renewable certificates in the amount of R$33 million in this quarter, an extraordinary PIS/COFINS tax credit in the amount of R$39 million in the first quarter of 2020. With this, the EBITDA for Ipiranga totaled R$563 million in the first quarter, 17% above that of the first quarter of 2020, and above what we expected for the quarter due to improved margins with inventory and trading gains and a gradual recovery in market share. These effects were partially offset by the reduction in other operating results. Looking at the current quarter, we expect volume growth over the first quarter of 2021, despite the impacts from the pandemic. In April, we had inventory losses in ethanol on the back of price reductions in late March. And we do not anticipate significant inventory and trading gains throughout the quarter. Our EBITDA level, as a consequence will be way above that of the second quarter of 2020, which was severely impacted by the pandemic, but below the EBITDA we had in the first quarter of 2021, given the price movements we have experienced so far. Now moving to the last Slide, number 10, to talk about Extrafarma. We ended the quarter with 402 stores, 2% lower than that in the first quarter of 2020, reflecting a more rigorous approach to non-performing stores in greater selectivity and expansion. Along the first quarter of 2021, nearly 5% of the stores, those located in shopping malls remain temporarily closed, due to more restrictive measures to tackle the pandemic. It is also worth noting that 20% of the stores are still at a ramp-up phase. Gross revenues at Extrafarma were R$570 million in the quarter, 1% below the revenues in the first quarter of 2020. Extrafarma was our business most impacted by the cyberattack occurred in January 2021, which affected the in-store and distribution center IT systems for one week. The estimated impact on Extrafarma gross revenues was R$25 million due to the attack. This effect combined with the lower number of stores and the temporary closing of stores located in shopping malls was partially offset by the same-store sales growth, and by the expansion of sales through digital channels. Same-store sales grew by 3.9% in the quarter, despite the negative effect of the cyberattack. SG&A expenses were 4% lower in the quarter. The result of a smaller number of stores and our initiatives towards productivity gains, logistics optimization and expenses reduction. Extrafarma’s EBITDA totaled R$12 million in the quarter, a 30% growth over the first quarter of 2020, due to the process of closing underperforming stores and the greater profitability of the existing network, with same-store sales growth, productivity gains and reduction in expenses. These effects were partially offset by the cyberattack, which had an estimated impact of R$6 million on EBITDA. I remind you that we have an insurance against cyberattacks that should recover most of that amount throughout this year. For the current quarter, we project a strong recovery in results, returning to a similar level we observed from July to December of 2020, the second semester of last year. And before we end this presentation, I would like to invite everyone to join us in our Ultra Day, which will take place next Friday, May 14. It will be an online event and all the Ultrapar executive officers will be in attendance. We will talk about our strategies and initiatives for our businesses, and we would appreciate to have you there. Thank you very much for your attention and we can now start the Q&A session.
Operator: We will now start the Q&A sessions only for investors and analysts. [Operator Instructions] So the first question comes from Mr. Guilherme Levy, Morgan Stanley.
Guilherme Levy: Good morning, everyone. Thank you for accepting my question. I have actually two. The first one, in terms of fuel, I understand that the window for export was a bit narrow for the first quarter. So I would like to understand from you what is your expectation for the next quarters when we consider the level of price that Petrobras is practicing at this moment? And if you could also tell us a bit how that could change to have that more in the long run to have a refinery coming into the portfolio of the group? And the second question is for Curado. And you said that you have a specific EBITDA continuation. So the EBITDA, I'd like to know a bit about the expectation until the end of the year. And if you could tell us also to what extent the Texas plant is already running since the first closing? Thank you.
Frederico Curado: Good morning. Guilherme, thank you for the questions and talking about imports. You are right, for this first quarter, we had a very narrow window especially for gasoline. And right now, for diesel, it's quite stable one; and for gasoline, it's still closed. So we're still following up on the progress of the internal price compared to imports. And our level of importation in the first quarter was less because we anticipated this closed window for the first quarter. For the second question Oxiteno. The outlook is positive for this year, where we will be keeping the reference of values that we have [Technical Difficulty] and the plant in the U.S. for the first quarter, as it was already mentioned, is pretty much – it was pretty much closed because of the climate in the region and impacted the other operations in the region as well. For the U.S., obviously there's a negative impact, although there is increase in volume. In terms of the first quarter, it had a negative impact in the U.S. But overall for Oxiteno, it was positive. Because the effect in the U.S. and also the ship in the Suez Canal, I mean and the frost, all of that had an impact.
Guilherme Levy: Thank you.
Operator: Our next question comes from Andreas Hachem, Itau.
Andreas Hachem: Thank you. I mean, first for Oxiteno, of course, there were many questions saying that there would be a possibility of the investments. So with this petrochemical scenario where we have something much more heated up and when we talk about the current scenario, how do you see this whole dynamic? What would you say? Do you have any expectation for this year or something that would be further to the next? That's the first question, then I'll get my second question in.
Frederico Curado: Well, thank you, Andreas for your question. This is Fred here. Well, our big process is of analysis and allocation of capital and to understand what is the portfolio that has a more possibility of generating value. So the investment is a possibility to be able to get the portfolio right. So this won't change with this current scenario. This is more about a long-term and the company has an exceptional performance for 2020 and in beginning of 2021. For that reason, this is a discussion that in terms of valuation that also comes into play and also the portfolio to the value of the company. But there's nothing specific decided on to talk about here. And once we do, we will release that information to the market.
Andreas Hachem: Thank you for that. And the second question related to Ipiranga. I'd like to understand a bit more. You had a shared dynamic was a bit of a change. You have a recovery at the end of the year. So I would like to understand was there any support in terms of volume of Ipiranga? And the second question for Ipiranga, I would like to understand a bit more how was the inventory effect, although there was the tax PIS/COFINS that does affect. I understand that there was a balance that was positive at the end. So I'd like to understand a bit about that?
Rodrigo Pizzinatto: Good morning, Andreas. Thank you for your questions. So for Ipiranga, there was a cyberattack that had a very small impact in the beginning of the quarter. The operations was one or two days off and then was back right away. So the effect in the results of Ipiranga was very small. That's why we just highlighted the fact that there was an impact in the market of Extrafarma, where there was a greater one in January when there was the cyberattack. The most impacted market was the white label. And we were able to recover in February, March with the gains of trading positioning and allowed us to take steps forward. So to answer the second question, when you talk about inventory, the present is part of the day-to-day of a distribution business. So price difference of the magnitude and speed that we had in this quarter allowed us to have the immediate response to it. So it's important to take a look in the long run more than in the short. So from the gains we had in terms of inventory and trading, we are talking about R$150 million.
Andreas Hachem: Okay, great. Very clear, thank you.
Operator: Our next question comes from Christian Audi, Santander.
Christian Audi: Thank you. I would like to ask two questions. First, in terms of Oxiteno, I would just try to see if you could tell us how was the progress of margin of Oxiteno for the first quarter when it comes to the margins in March were better than in January or vice versa? Or how do you see the progress for the second quarter? What is your outlook into margin? And the second question, Fred, this is mostly for you, strategic-wise, I would like to understand how do you when it comes to the potential purchase of the refinery in terms of present elections next year, understanding that this brings to light the topic about pricing. And also when it comes to Oxiteno, how do you reconciliate what you said about the result of the company doing quite well. And at the same time, before it was a company that you were analyzing, if it was worth to be sold or not? We can see that by capital allocation. And the third point, is it you are more excited about the opportunities for natural gas energy now than three months ago, because Brazil has changed greatly when we talk about the macro political economic status? Thank you.
Rodrigo Pizzinatto: Good morning, Christian, thank you for your question. Well, starting here with the first question about the margin of Oxiteno. The first quarter, we had really good throughout the quarter, which varies mostly for total margin, and that's why we talked about it. I mean, we had a volume of commodities was quite under what we usually have. When it comes to the priority, we had to be able to have the market with the supply of what's the agribusiness demanded. So thinking about the frost in the American market and the Suez Canal ship issue that really brought greater issues there, but for the second quarter, we were talking about a greater participation, I mean, of the commodities in terms of it dropping. And Fred, the second question is for you.
Frederico Curado: Hello, Christian, thank you very much. I mean, I think there are three questions there. Is that right? Let me try to go to the first one about refinery. We had a negotiation with Petrobras, with the Refap in terms of all the contracts and some complementary contracts. And there was no halt to the negotiations. With the change of leaders in the company, our perception and what we realized is that there was even a confirmation or even a speeding up, I would say, of the whole process. So you most likely saw the press releasing the information that Petrobras was able to really have a supplement in terms of the target of due dates to have the contract signed in the choice of the buyer and in the case, it's us. And also for the bidding of the assets that haven't really been sold for both cases. So Refap being the other. So we believe that Petrobras, when it comes to this – those reaffirming these investments. And the second question is about price policy. That is definitely a threat in Brazil. But let's recall that this is one of the big motivators and drivers to break the monopoly Petrobras, when it comes to downstream of refining, which is exactly that point. That is one of the drivers definitely from the agency standpoint, and that won't be very different. I mean, if you were going to have the increase in Brazil. So if we think about being relevant together, we're talking about 20% of the capacity. And we have [Technical Difficulty] Refap and these are the four big ones. So we're getting to 50% if we add them all. So this is quite relevant. And the other relevant factor is that Brazil is a – in quarter, we know that there won't be big investments on refineries, maybe on smaller ones. With big question technology and any case, but Refap of more than 120,000 barrels a day, I think it's most likely there will not be any – not only Brazil, but around the world. So this is very interesting when it comes to demand greater than supply. So I think the thing about imports has any effect when it comes to bringing the price to the market. And on the other hand, let's remind ourselves that this bylaws of Petrobras made it very clear after all that went on in 2015. And now there's legislation about that as well about the noninterference. So the government cannot interfere in the price of Petrobras, and that is something that we even were able to realize very reasonably other than the what we saw with all the confusions. But what we see is that prices are kept as we see the oscillation according to the market. So it is, I would say, a very confident moment where we're taking the right path for that, and we're working on it. And for Oxiteno, well, as I mentioned before, we see the portfolio of Oxiteno, we have focused clearly, and we have been trying to focus where we have scalability which is in downstream, where we have Ultrapar and Ultragaz and Ipiranga and the refining which is closer of scalability when it comes to that. And Oxiteno is was not that far from it. When it comes to this wealth, we have, I would say. So it's not a matter of portfolio. The other aspect is that we need to see at Ultrapar, we are the best shareholder and not for the company. This is an analysis that is not black and white. It really depends, I mean, on the market. So these two are answers that must be taken into consideration before we think about investment or not. The matter of the fact is that the company is a very competent one, where there is a major positive reputation in the market, the technology. There is an operation where there is an industrial one that is quite efficient.
Rodrigo Pizzinatto: For that reason, I would say that the alternatives are all very good, and you can still have value generated on that. And if it's for the shareholders, definitely, and we would like to see a suitable compensation for such. And I mean in terms of the analysis, definitely, we have a focus on refining – I mean this is a focus of all of us, but we have taken progress in the analysis of such in that way, we will be getting into this at some point, and it's very early to detail exactly how. But this is an intention that is very clear to us to get into it, definitely.
Christian Audi: That is very clear Fred, thank you for all the details, and thank you for answering my questions. Thank you.
Frederico Curado: Thank you, Christian.
Operator: [Operator Instructions] Our next question is in English from Frank McGann, Bank of America.
Frank McGann: Okay. Just to follow-up a little bit on the last question, and I'm not sure if I heard exactly what you were saying. But the – as you look and you talk about becoming much more of a company focused in downstreaming in the fuel markets and such and restructure the business a little bit to accomplish that, I'm just wondering what – beyond refining, what types of businesses or segments of the business, could you potentially find attractive to expand? And any thoughts you have on that? And then just a couple detailed questions. One, with Oxiteno, any – is maintenance going to have any effect on production levels of – in the next several quarters for the rest of this year? And then Extrafarma, you mentioned that the R$6 million cyberattack effect on EBITDA could potentially be covered by insurance. When you reported the numbers, are we to assume that the R$6 million hit was already in the – included in the first quarter and that the recovery then will be an addition to earnings later on?
Rodrigo Pizzinatto: I should remind you all that this call we have in Portuguese with the simultaneous translation. Fred, please you can answer the first question. And you can repeat the question in Portuguese.
Frederico Curado: Well, the question is two other than refining, what else we are looking into. When it comes to the downstreaming sector for oil and gas. And the answer here is that natural gas is a focus we have that is in our analysis. We've been over a year now focusing on analyzing to understand the whole chain of natural gas and understanding of what point in the chain we can use the competencies of our group and the synergies we have with other parts of the portfolio to be able, therefore, to take a decision for investment and to get into that specific sector. Obviously, as a background, that Petrobras will leave the monopoly is being more and more reduced and the possibility of a private investment in oil and gas and natural gas are increasing. Also associated to that to the infrastructure, we have a major company, which is Ultracargo on infrastructure, where we are focused on the fuel and chemical sectors. And when we look into this downstream chain, we look not only into the synergies with Ipiranga and with Ultragaz, but obviously, also Ultracargo. Rodrigo, the questions for Oxiteno and Extrafarma is on you, please?
Rodrigo Pizzinatto: Okay, Fred. So Frank, starting with the volume of Oxiteno, when we think about the second quarter, we see a maintenance and a similar volume of specialties and an increase and come back in terms of volumes for the commodities. Therefore, we see a greater volume in the second quarter than what we see in the first quarter. And we shall recall that our management of results of the second quarter with exchange rate that we are at right now, we will most likely have EBITDA similar to what we had in the first quarter. And your second question about the negative impact of the R$6 million of Extrafarma after the cyberattack and the expectation of recovery in terms of the impact. Well, we have the policy of insurance against cyberattack, and our expectation is to have a recovery of most of that value. Since we have a premium to pay, and we have a discussion now to talk about exactly what would be the right amount for it for this recovery. So once we do, it will have a positive impact on Extrafarma results for this year.
Frank McGann: Okay. Thank you very much.
Operator: Our next question comes from Thiago Duarte, BTG Pactual.
Thiago Duarte: Good morning, Fred and Rodrigo and everyone. I would like to get back to the discussion with referring to productivity network and market share progress. Have you – you've already made a year along the last quarter, the more network expansion, the focus is on increase of productivity. On the other hand, when we look into the numbers, I mean, we see something very high, something that is similar to the last two years. I mean my question then is to understand at what stage are you in this process and understanding of improving the productivity of the network. When we think about market share for the quarter, as it was already mentioned, it was more a month over month. But when we look at the resale share, we see with auto cycle, it didn't evolve as much as we saw with the diesel. So for that reason, within such context, it would be interesting to know what you have to say about what stage it's on? And in terms of convenience stores, that's my second question. There was an increase of two stores, but there was a 24 stores of AmPm that you showed there also. If you can talk about the results – the initial results in terms of what you had and how you see the results of owned stores as well, and that would be quite interesting to see? Thank you.
Frederico Curado: Good morning, Thiago; thank you for your questions. Let's talk about Ipiranga then. Ipiranga has followed its strategy to have stations with greater number of gallons and to filter out the ones that do not have the number of gallons that fits what we need. So we're still in the process. That's why we have the filtering process that is similar to what we have. I mean, we have a positive progress there, just so that you can have a better understanding of the process. The stations we have, the new ones from 2019 and 2020, they have about 300 to 450 cubic meters per month; 220, 2019; 250 for 2020. So we see an increase when it comes to screening the best stations to have our brand. But the ones that are being filtered out for the first quarter, we had a throughput of 50 or less than 100 cubic meters per month. So we are going from a low gallon performance network to have a higher one and with a greater potential as well, which is good for the reseller and some healthy for Ipiranga. Obviously, that has an impact over time in market share. The market share has an impact that is very specific, we had at the start of the year with the pandemic, where we didn't sell to white label because of margins at some point. And in the first quarter, we had greater opportunities to have a good result selling in these markets, and we have an evolution because we're working in trading with ethanol that is a bit further on than fossil fuel. When it comes a bit about our own stores. And let me explain to you about productivity. We are at a very stable level with the pandemic since we have this impact when there is a greater social distancing, that there is an impact, obviously, which is something that you would naturally have. In terms of AmPm stores, we have a plan of expanding to have 680 stores for this year. We already have 50 stores. I mean, where we have now 80 of our own management. So we want to end the year with 150 of stores with our own management. So that's why we have a specific focus on AmPm company operated by us. And why do we focus on that? Because once we do that, we learn better what are the pains of these convenience stores and the opportunities, and that's something that's quite good for us, but also for the franchisees that can have a better operation of their AmPm stores. And second, the stores that we already operate, we realize that there is a profitability and also EBITDA that is greater than what we had before. So it's 5% to 10% of greater EBITDA than what we had before the operation. This is what has made us quite optimistic in terms of having our own operation because it also has an important element when it comes to meeting what Ipiranga needs. It contributes to have a full station where you can have not only the selling of fuel, but you can have other products being sold. But there are resellers that do not want to operate a convenience store or doesn't do it appropriately. And when they do not want to and we believe there is a potential for a convenience store at the station, we have now the option of having an AmPm, and we can operate ourselves. So this has been the strategy for AmPm stores, and we have the intention by midyear, most likely in July to have a specific event with all investors and shareholders as we had in March with Ultracargo to be able to have more conversation about the plans for AmPm stores.
Thiago Duarte: Excellent. Thank you very much; thank you for the details.
Frederico Curado: Thank you.
Operator: Our next question comes from Mr. Luiz Carvalho, UBS.
Luiz Carvalho: Hello, Rodrigo. Thank you for all the questions. And we have two here, Fred, the first one, for you in terms of capital allocation. When we do – we see the leverage of the company, we see something closes 3 times EBITDA over EBITDA. And this is something we see over time, and we've been seeing it, although in the last quarters. We can see something a bit better when it comes to the operation. We haven't seen the leverage being reduced to a level of what we had before, if we think about a further past from now. I would like to understand how you see the leverage? And when it comes also to the investment that you want for refining and also the potential of the investments. As you have mentioned, Oxiteno, I mean, Extrafarma, is there anything that we can see something a bit greater if there is an unmatched of the investments? I mean, and the second, I'm not sure, if you've already mentioned in the call because I came in a bit late. When we look at the margins of Ipiranga for this quarter, you said R$105 million and thinking about what we had something around R$111 million, but we did calculate here and we see the spot stain. I mean, I know there was a close window there for imports, but I understand that it was most relevant in terms of R$20 per cubic meter. So the question is, if this makes sense. And with that in mind, I want to know if the margin would be something close to 85%, which is a bit even under they had guided. If we believe that the volume will be back to what we had in 2019, by this year, we're talking about a margin from 1,900 per cubic meter. Just to understand if that makes sense, this whole rationale here. Thank you.
Frederico Curado: Good morning. Luiz, let me get to the first question. Well, I believe just to say quickly, In terms of investments and cash when it comes to leverage, we – and the inertia of the company is quite big. So from 2018, we started to have a specific attention to cash generation, cash flow. And we, therefore, had some inertia that was quite important in terms of investments that we're about to come through for Oxiteno in the U.S. We still had some major contributions. And we had a concentration action in Ipiranga in 2017 of brands – branded stations, as Rodrigo said, filtering out the network, having the improvement of the gallons per station. So this is a response from what we had in 2017, where there were many that were stations that came with our brand and increased the number of stations and this all brought more to the networking. By 2018, I would say, mid-2018, the cash usage was very high in Extrafarma, until we change the expansion plan that was accelerated to one that would concentrate on the network. So this is, when it comes to the capital and for EBITDA last year, we wanted to have the leverage in the second quarter, we got in the way, I would say, because the second quarter of 2020 is – has been with us for a year now. So this is the last quarter where we still have that being part of the calculation. So this will definitely be a relief. So we have a guidance for this year where you already now, where it’s a bit open because Ultrapar – I mean, we'll have that, but we will have an increase from what we had last year. So you'll see an average for the quarter of EBITDA, that would be superior to what we had. And with all our efforts to contain or better to discipline ourselves when it comes to CapEx, Ultracargo is being able to do the expansion projects with less CapEx than we had foreseen. So that is our common denominator. And this is the current portfolio, and it will drop. And then there's a second part of your question, which is more about the portfolio structure itself. So definitely, when we decided to focus on the investment, I mean, we know that leverage will decrease together with EBITDA. And – but focusing on your question, if there is an end match or even, let's say – I mean, we know there's investment to get a refinery in our group. So you have a spike of leverage at that point. But at that moment, if you do a pro forma with EBITDA that comes with the refinery, then the peak is much more digestible and smoother, I would say, considering that. So it would be even an incorrect calculation as if the asset did not generate EBITDA. The refinery has a characteristic of generating strongly cash. So we believe that even if there is an unmatched, we believe we have an capability for that and leverage would be quite fast as well. Otherwise, if there would not be the accumulation and if we have the investments before, the process, we believe that it will be of a volatility situation and smoother and heading towards what we've said, of getting 3 point something or 2.5 which is something that is more suitable for a company that wants to get to where we want to. And your questions about Ipiranga's margin. When it comes to imports in the first quarter, there was a negative impact on it. But if we take into consideration in your rationale, what was additional to what we have, the R$20 per cubic meter does make sense. And we shall remind you that we consider when we do the forecast for the year price oscillation over time. And when we build this whole guidance, we use that as a reference, and we are still taking that into consideration to bring that all the way to the end of the year. So the forecast of margins are still the ones we have already shown you for the guidance.
Luiz Carvalho: Thank you, everyone.
Frederico Curado: Thank you.
Operator: Our next question comes from Regis Cardoso, Credit Suisse.
Regis Cardoso: Good morning, Fred. Thank you for the question. We've talked most of the points here, perhaps some quick follow-ups. First, the one that has to do with what Ipiranga said for Oxiteno. And on the other hand, Oxiteno had also a very strong quarter. And my question here is more about organic. So the question is if we're seeing a forecast for weaker quarter for Oxiteno when it comes to the spread and if there is that when it comes to the guidance of the year? And the second question, going back to the leverage and capital allocation. Fred, maybe if you could also tell us a bit of how you see the increase of – the SELIC increase, so there is the floating debt there, in my concern when you have a high rate with the fluctuation if it would not take up your future cash generation. So it falls down to this question. How much of a priority is to reduce the leverage? What would be your tools to take that on? Or if it's not the case, maybe the answer should be that this is not a concern at all. Thank you.
Frederico Curado: Good morning, Regis. And the first question for Oxiteno, we see that we don't expect a big contribution make for the rest of the year. It's something that's very important to define the results of Oxiteno is the exchange rate. And when we decided the guidance interval, we took the exchange rate into consideration. So when we think about the next quarters, I mean, the exchange rate progression and the margin and leverage are the top elements to think about the guidance and something depending on what we would have for it. So in terms of leverage, being very objective, it's a priority, definitely, it is. I mean, we are far from being in a situation in being fully concerned with liquidity. I mean, we don't have any bad in our debt. So it's much more a matter of restoring the possibility of having new investments. So there is a portfolio. It's true that's very important. But there's also a liability managed work that Rodrigo has been on and structuring it. So there is a concern, yes, it's a priority, but it's not one where it surprises us, but very focused on having the leverage brought down.
Rodrigo Pizzinatto: If I could add to that, when it comes to the financial results, this oscillation that we had in the market that had a negative impact, we shall remember that in the fourth quarter will be a positive one. If it was positive in terms of financial results in the fourth quarter, that could be an impact in the balance of the debt because the hedge is within the balance of the debt. And when it comes to other topics, which the idea is to bring that together with the bad debt that was contracted and most of them have oscillations. And when we think about [Technical Difficulty] there are a short-term oscillations, but they neutralize over time until the due date with no effect.
Regis Cardoso: That is very clear. Thank you, Fred; thank you everyone.
Frederico Curado: Thank you.
Operator: Since there are no more questions, I would like to pass the floor for Mr. Rodrigo Pizzinatto, for your final considerations.
Rodrigo Pizzinatto: Thank you, everyone, for your questions, for your participation. I should say, again, that we will have Ultra Day. Because of the time of the session, we will be answering the questions that we got on the webcast through e-mail. Our IR team will be answering you. So thank you, everyone, and have a great day. And I'll see you on our Ultra Day on the 14. Thank you.
Operator: Thank you. The call release of Ultrapar is over. Thank you, everyone, for your participation.